Operator: Good day ladies and gentlemen. My name is James, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the NXT Energy Solutions’ 2019 Second Quarter Operating and Financial Results Conference Call. All participants will be in a listen-only mode for the past of the conference call with the ability to ask questions after the presentation by the company. [Operator Instructions] I now like to turn the meeting over to Mr. George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, Mr. Liszicasz.
George Liszicasz: Thank you very much James. Welcome and thank you everyone for joining us for NXT Energy Solutions second quarter 2019 financial and operating results conference call. This is George Liszicasz and joining me today the first [ph] quarter conference call is Eugene Woychyshyn, Vice President of Finance and Chief Financial Officer. We would like to congratulate him on his promotion. Rashid Tippu, Director of GeoSciences for Africa, Asia and Middle East; and Enrique Hung, Director of GeoSciences for the Americas. The purpose of today's call is to briefly discuss the highlights of yesterday’s release of NXT’s second quarter 2019 financial and operating results and to update you on the market and business activities. Following our updates we will open up the line for questions. Please note all statements made by the company and management during this call are subject to the readers advisory regarding forward-looking information and non-GAAP measures set forth in our second quarter results press release and MD&A issued yesterday. All dollar amounts discussed in today’s conference call are in Canadian dollars unless otherwise stated. The complete financial and operating results and contents consolidated audited interim financial statements for Q2 2019 were published yesterday and are available at NXT’s website as well on SEDAR’s website. The second quarter was busy for the company with primary focus on the eighth acquisition and the interpretation for SFD Survey contract with PE Energy in Nigeria. In addition my team and I spent the quarter continuing discussions with other potential business partners in Africa and Asia.  Now, over to Eugene for the financial review.
Eugene Woychyshyn: Thank you, George and welcome everyone. First I want to say I’m looking very forward to working with all of you, shareholders, the team here and George for what's sort of very exciting time for NXT, and I'm hoping and I know we're going to have lots of value to the shareholders and to the success of this company. As George mentioned, our second quarter of 2019 financial statements and management discussion analysis were filed on SEDAR’s website yesterday and will be available in EDGAR shortly. From a financial perspective the focus remained on continuing to control non-core corporate costs and in this quarter supported Nigerian SFD survey. For the second quarter of 2019 our financial results were as follows. There was CAD10.95 million of revenues earned in the quarter representing approximately 91% of the total revenues from the Nigerian SFD survey, a total of $5.7 million of payments have been received to-date. For the quarter NXT recorded net income after tax of approximately CAD8.09 million or basic CAD0.12 per share based on CAD68.6 million weighted average common shares outstanding and on diluted basis NXT earned CAD0.11 per share based on 73.3 million shares. This is an improvement of 10.05 million over 2018 second quarter net loss. Year-to-date NXT recorded net income after tax of approximately CAD6.32 million or basic CAD0.09 per share based on CAD68.6 million weighted average common shares outstanding. On a diluted basis NXT earned CAD0.09 per share based on 73.3 million shares. This is an improvement of 10.24 million over 2018s results. There was no change in our shares outstanding during the quarter. In regards to the Co-operative Agreement with Alberta Green Ventures, the Company has received approval from both shareholders and the Toronto Stock Exchange to extend the 3.4 million warrants held by AGV until February 16, 2020 contingent upon AGV’s performance under the Co-operation Agreement. Total operating expenses including survey costs for the quarter were 2.36 million. This included non-cash expenses of 0.45 million for amortization of stock based compensation expenses. Total operating costs year-to-date were 4.37 million including survey costs. This included non-cash expenses of 0.8 million related again to amortization of stock based compensation. Operating activities used 0.38 million of cash during the quarter and 1.26 million year-to-date. Cash and short-term investments were 2.96 million at June 30th and net working capital was 10.45 million. General and administrative expenses decreased by 31% in the second quarter compared to 2018 and the main reasons were as follows. One, salaries, benefits and consulting charges were lower in 2019 due to a change to a lower cost mix and corporate staff; one less headcount and allocation of direct salary cost to survey costs. Board, professional fees and public company costs were 35% lower in 2019 due to lower legal costs. Also 2018 we incurred termination costs to suspend the Advisory Board. Premises, administrative and overhead were 13% higher in 2019 as the company improved its information systems security. Business development cost increased by CAD120,000 in the second quarter of 2019 as company resources were focused on executing the Nigerian SFD survey. General administrative expenses decreased by 19% or CAD402,000 in 2019 year-to-date compared to 2018. Salaries, benefits and consulting charges were lower in 2019 by 22%; again due to a change in the littler costs mix and corporate staff, one less head count and at the allocation of direct salary costs to survey costs. Board, professional fees and public company costs were 13% lower in 2019, again due to lower legal costs but they were partially offset by higher insurance costs in 2019 given our increase in business activity. Premises, administrative and overhead costs were 9% higher again due to improvements being made in the information systems security. Business development costs decreased by CAD146,000 as the company focused its resources on first negotiating the Nigerian SFD survey in performing the Nigerian SFD survey. We ended the quarter with CAD2.96 million of cash and short-term investments on hand and net working capital of 10.45 million. Since June 30th approximately CAD4.4 million reported accounts receivable of 9.13 million at June 30th has been collected. However, as noted clearly in our financial statements if the additional Nigerian SFD contract payments were not to be received or needed further financing, we're not to materialize the company, but only have sufficient in the third quarter 2020. Now let’s turn the call back over to George to further discuss our business update and forward plans.
George Liszicasz: Thank you very much, Eugene and I’d like to start with our BD discussion, business development discussion with the Nigerian SFD contract. We have completed the acquisition of 5,000-line kilometers of SFD data, interpreted all of it and presented milestone results to the clients late last month. To date, we have been paying almost two-thirds of the total 8.9 million contract fee which is in U.S. dollars or $5.7 million. Following the submission of the aforementioned milestone results, Frontier Exploration Services or FES and NNPC selected an SFD recommendation for immediate seismic comparison. FES also invited NPDC, which is a development affiliate of NNPC and the Department of Petroleum Resources, DPR that upstream regulatory body with this exercise. SFD recommendations, which showed excellent correlation with exploration leads and drilling results. Furthermore DPR as part of the regulatory mandate asked NXT to provide an in-depth step, address our analysis over the near-shore SFD pilot project area designed by DPR. I am pleased to report that both the producing assets and undrilled exploration leads identified our proprietary seismic by super majors matched very well with the SFD data. Consequently PE Energy and NXT are exploring survey opportunities and discussing these opportunities in NPDC and FVS in the Nigerian Delta and the inland basins. Operationally, we are in a good position since all permits are still in place until the end of 2019. NXT and PE Energy will be submitting a final report during the second half of August and comments full integration of SFD findings into the hydrocarbon exploration programs of the Nigerian inland basins at the end of August. We anticipate such undertaking will be completed by mid-September. There is one more significant milestone payment, which is due now receivable to NXT and due at the end of the quarter. In addition NXT continues to expert other opportunities in Africa. We can provide more information on these new initiatives today, but we will as warranted. With respect to Asia initiative; our focus in Asia is the cooperation and the development of our working relationship with CNPC and BGP. CNPC is the National Company of China and BGP is the Bureau of Geophysical Prospecting. I have just returned with my team from a three week trip which started in Nigeria and concluded in Beijing, China where we met BGP and CNODC, China National Oil and Gas E&D Company. BGP is one of the world's leading geophysical service companies and undertakes more land-based geophysical services worldwide than any other company in the industry. They enjoy a significant presence in Africa. I am pleased to report that excellent progress has been made and our discussions focused on the utilization of SFD in countries where the national company of China have significant interests. Our immediate plans while in Africa include meetings with various country managers to define onshore and offshore programs where SFD can be most effectively used. In Malaysia we continue our efforts with GRD, our regional representatives to secure new SFD contracts with the state or company of Sarawak. Our aircraft is undergoing scheduled maintaining at the moment and ADS-B flight management upgrades to be in compliance with the new airspace regulations. These upgrades will be completed before mid-September. If you have any questions on the Nigerian contract, Rashid Tippu, our Director of GeoSciences for Africa, Middle East and Asia will be able to address them. In other developments we continue discussions with Alberta Green Ventures, AGV to propose up to three surveys within two years. This agreement will allow NXT to begin to be on this vertical strategy in Canada, USA and internationally. Furthermore, NXT shares in the success of SFD recommendations as the co-operative agreement is based on cost formula and gross overriding royalty interest in oil and gas production arising on lands subject to the surveys in specified countries. We are currently in discussion with AGV on potential project in USA, Canada, Mexico and Israel. In other business development activities we continued marketing efforts during the quarter for the SFD Technology. Latin America remains a very important market segment for NXT. NXT is working with AGV to reestablish our presence in Mexico. We are actively seeking new SFD projects in Colombia, Peru, Brazil and we will continue our updates as one update. If you have any questions on our Latin America initiatives; Enrique Hung, our Director of GeoSciences for the Americas will be able to address them. On the technology front we have received communications that the EPO or the European Patent Office is finalizing the SFD patents in 38 countries. This is indeed a significant milestone for our company. Our plan to fly the Queen Charlotte Fault project is still a priority. The purpose of the project is to establish a controlled environment that SFD did a subsurface stress variations using gravity as a proxy exclusively, independent of electromagnetic radiation and other external sources. All projected planning has been completed and the execution of the test flight over the Queen Charlotte Fault will depend on the aircraft requirements with respect to the new Nigerian and AGV projects. In conclusion, I am satisfied with the current Nigeria progress. It is imperative for us to continue developing the vision for the future of NXT and its shareholders. NXT continues to focus its marketing and business development efforts primarily on is free fee for service line of business with new near-term opportunities being pursued in Nigeria and also strategically in other parts of Africa and the rest of the world. In accordance with the industry trends, NXT is also diversifying efforts on developing opportunities that include royalty payments such as the ones that have with AGV. Joint operations as multi-client surveys and co-operations with third-party geophysical providers such as the one being considered by BGP and vertical opportunities being contemplated in a number of jurisdictions. On the IRPR [ph] products, we feel that the current update in business development and contract execution NXT will be well served with a dedicated IRPR effort. In this regard we’ve also undertaken revamping our public presence, including an updated website. With these efforts and continued business growth, liquidity of NXT stock should improve. On behalf of all the directors and that tire team at NXT, I want to take this opportunity to specifically thank Mr. Daere Akobo, our Nigerian business partner for his entire efforts in driving the current Nigeria construct to conclusion and developing potentially new opportunities in Nigeria and the African region. We look forward to continued business success with Mr. Akobo. Last but not least, I would like to thank all of our shareholders for their continued commitment and support. I now ask our operator James to open the line for us to take a few questions. Thank you.
Operator: Thank you. [Operator Instructions] We do have a question. Caller please go ahead.
Mick Mork: Yes. This is Mick Mork at Mork Capital. Two questions. One, what is your game plan for Alaska? The Alaska pipeline is only 40% of capacity and you could use the SFD up there; find some oil and gas tapped into the line and get it full without doing any environmental damage. I wonder if you're doing anything on that front.
George Liszicasz: Not only Alaska is being considered, it also the Arctic and the Eastern Seaboard. We're working with George Allen, President of Advisory Board, former Governor and Senator of Virginia. On the visit with Princeton University that is an advisor to the current administration – U.S. administration and exploring the opportunities for SFD being used in the Arctic, Alaska and the Eastern Seaboard. That has been rescheduled unfortunately because of our trip to Nigeria and just that, you know we are also leaving probably within 10 days, again to Nigeria and then to Dubai and then to Beijing and then potentially Pakistan and Malaysia because new initiatives are going to be there and also we are submitting the final report and do intervention work in Dubai for 20 days. So our guys are going to be quite busy on these matters. But as soon as we are back, we are planning to reschedule this visit potentially to the White House – we don't exactly know how it's going to play out now, but we are very much hopeful that this visit is going to take place.
Mick Mork: That sounds good. Yes, I had one follow-on question. Different parts of the world, when you were flying in Columbia six, seven years ago, you found apparently some very large anomalies down there. Is there any way you've been explain that or waiting far away from the existing plants and stuff?
Enrique Hung: Yes, right this is Enrique Hung. We’ve been in conversations with some middle size E&P companies in Columbia. As you know, Columbia has an open bid process. So the AMH which is the regulatory body in Columbia has opened the doors and then pulled through a bit on their blocks. We have a fair amount of data in some of key prospects in our archives and are ready to be commercialized. The thing is that it's finding the right people and the right intentions to finance these intentions because the things would be to make ourselves a participant on the Columbia oil and gas business. This is part of what George was measuring on his address to the shareholders about the next steps in different kinds of business models that we're thinking to apply.
Mick Mork: Okay. Well thank you very much.
Enrique Hung: We're looking at it.
Mick Mork: Yes.
George Liszicasz: Thank you, Mick.
Operator: [Operator Instructions] We'll take our next question. Now your line is open.
Unidentified Analyst: Yes, George. Charlie Davidson. You had mentioned that AGV was working on Mexico. Mexico has been a very large target for you for an awfully long-time. Perhaps you could elaborate a little bit on exactly what the status is down there and what the plans are?
George Liszicasz: Well, yes we've been continuously working with Mexico and Mexico has been changing the stakeholders. So we’re – it’s a moving target that we are – we think we have now control with the AGVs help. AGV got to send those or extend their context – their business context to us and I'm working directly with them on a weekly basis. We’re expected to be before the end of the year to have important meetings with people who know the technology from 2012 and who’ve seen some of the results from 2017 on the CMS survey that we have and the proof of course in some of the fields that we have in our archives.
Unidentified Analyst: Okay. Good luck on that. Thank you.
George Liszicasz: Thank you.
Eugene Woychyshyn: Thank you.
Operator: We'll take our next question.
Peter Mork: Hi, guys this is Peter Mork. Just one more question from Mork Capital. I just wanted to follow-up on just kind of timing and you mentioned there's some work being done on the plane. Is that – was that just for routine maintenance or you said something about an upgrade. And how that fit? I know you talked a little bit about the – both the Queen Charlotte Fault flight that you're going to do and the AGV. I know there were some talk about that happening around this time. Has that been pushed out or is it going to be just dependent on potential contract work in Nigeria or elsewhere?
George Liszicasz: Thank you very much for the question. Do you want to start with the...
Enrique Hung: To start with the aircraft, Peter the work that's been done there is some regular maintenance, but most of it is on this – it’s called ADS-B. It’s a new requirement in the U.S. and European airspace starting in 2020, that all aircraft flying through there have to have this system that allows aircraft to fly closer together more efficiently. So in order to get to Africa or even Asia after January 1st we needed to install this, and so that work is being done right now. And maybe I’ll let George carry on, but the plan is when we test that system that we have an opportunity to potentially fly at QCF at that time. But George...
George Liszicasz: Yes. The QCF is extremely important to us. Unfortunately that has been delayed as well, because we didn't have enough hours on the aircraft and, right now we are also looking at significant aircraft hour requirements for the next survey. So we are planning to do the QCF as soon as possible. It is monumentally important, so it's something that NXT has to do for increasing our credibility. And secondly that if we can prove that we can differentiate between highly stressed areas and low stressed areas, potentially it could be utilized to predict earthquakes and I think that would be also a very important step in the right direction in terms of other applications for the technology. And there was a third question, which was AGV?
Peter Mork: Yes.
George Liszicasz: So – did you want to say something Peter?
Peter Mork: No, no, that’s fine.
Enrique Hung: AGV capital...
George Liszicasz: Yes. AGV is right now undertaking a significant project in Israel that NXT is to be a part of down the road. And this project is running basically they’re drilling a 5,000 meter hole into fractured reservoirs and so on in the magnet field. That AGV basically took over 40% ownership right now. So that's where we are at with them and we would like to continue this evolution with AGV in terms of business development, because we feel that they are extremely important in our efforts. They are playing a major role.
Peter Mork: That’s all, it sounds great.
Enrique Hung: A little bit into the future analysis that’s...
George Liszicasz: Yes. It’s going to be in the future analysis.
Peter Mork: All right, great. Thanks guys.
George Liszicasz: You’re most welcome.
Operator: We’ll take our next question. Now your line is open.
Unidentified Analyst: Hi, this is Nishab [ph]. Just one question in terms of all the opportunities that were listed, what is your feeling about new contacts coming online between now and the end of this calendar year? How many do you think are likely, what's the probability of them happening and what's the expected additional revenue in addition to what you already have?
George Liszicasz: Well, this is a very tricky question as you know. My newly promoted CFO is looking at me, but just to be on the cautious side, I think that there's a potential for three different contracts this year. And two in Africa and one in Latina America, and it could be – could it be potentially more than the entire market value of NXT. So that’s where we are. I think we are on the right track. We are going to repeat business and we’re also with Akobo on-board that’s going to be new frontiers in Africa and also with China. So we feel very strongly about closing this year on a high, high, high note.
Unidentified Analyst: I noticed you didn't mention anything about energy in the – the opportunity in Israel, if you just mentioned earlier during your presentation. So is that – that mean it’s more likely to happen next year?
George Liszicasz: Well we do not know because they are drilling right now. So they already started drilling and as soon as the drilling results are in, they want to – want us to survey several areas onshore and offshore and I think that project will take place. I cannot tell you exactly when, especially if it's early in project successful.
Unidentified Analyst: Definitely there's something too about Israel?
George Liszicasz: Of course. We have trade some flight lines already on the Israel projects and submitted to the AGV. So the mentioning of the project is already in place where we're waiting for timing and logistics.
Unidentified Analyst:  Excellent. Thank you, guys. Keep up the good work.
George Liszicasz: Thank you.
Operator: [Operator Instructions] We'll take our next question.
Unidentified Analyst: Hi George, it’s Tom [ph] here from Whitewater Partners? I have a question with regards to the February 20th press release, which is enhancing the agreement between NXT and AGV. So under the agreement the first survey was to compete – completed by August 31st of this year. So my understanding is that’s not going to be completed or will be completed on time?
George Liszicasz: Unfortunately I can’t answer the question right away. We are – believe that the first survey is going to be at this point, because it's a major survey. It's a multimillion dollars survey and AGV is positioned right now to do that survey rather than the divers there, efforts into the smaller Canadian or U.S. surveys. They are on the track right now to do a major survey with us as has been mentioned by Enrique. We have submitted all the product lives; they are working on permits, minister approvals and so on and so forth. So it's all in the working, whether or not it can be done this year. I can't tell you that, but I’m quite sure that the next conference call we are going to have a much better understanding where we stand
Unidentified Analyst: But under the terms of the agreement, AGV was supposed to deliver the survey by August 31st. So is the agreement still standing?
George Liszicasz: Of course we did say. We’re just moved forward and wait for – we have to wait until August 31st that's what the – we can't say anything until then. They may come back earlier and say, okay, because we understand that we have delivered the flight lines for post Canadian survey, the U.S. survey and now we’ve also deliver for the Israeli survey. So those projects are not major projects, okay, several hundred thousand dollar project. If we have to go to Nigeria, we're going to go to Nigeria, correct? I mean that's where we stand right now.
Enrique Hung: I think the first stones are put on place – on place survey for those frontiers...
George Liszicasz: All of them, all three. We are just waiting for the decision, which way they want to go.
Unidentified Analyst: Sorry. Again I don't understand if they're not fulfilling the agreement, this agreement is void?
George Liszicasz: Well it’s not void yet so let’s wait until August 31st and then we will know exactly where we stand.
Unidentified Analyst: Okay. Thank you.
George Liszicasz: Thank you.
Operator: There are no questions registered at this time. I'd like to turn the meeting back over with Mr. Liszicasz.
George Liszicasz: Well, thank you very much everyone for participating our conference call – investor's conference call. We very much believed that we are going to have some good update on the next one, and until then thank you for your continued support. On that note, thank you everybody and have a great weekend. Bye-bye.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.